Holly Schoenfeldt: Good morning and thank you for joining us today for our webcast announcing U.S. Global Investors Results for First Quarter 2021. I'm Holly Schoenfeldt. If you have any questions during the webcast, you can enter them in the questions area of the control panel sidebar, or you can email them to info@usfunds.com after the presentation. The presenters for today's program are Frank Holmes, U.S. global investors, CEO and Chief Investment Officer; Lisa Callicotte, Chief Financial Officer; and myself Polly Schoenfeldt, Marketing and Public Relations Manager. During this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statements and all other statements made during the webcast that don't pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-Q filing for more detail on factors that could cause actual results to differ materially from any described today and in forward-looking statements. Any such statements are made as of today and U.S. Global accepts no obligation to update them in the future. Real quick, as you're watching today, we are pleased to offer you a [indiscernible]. All you have to do is send an email to info@usfunds.com and we are happy to get those out to you and just include your mailing address. On Slide 5, you'll see a quick overview of U.S Global Investors. We are an innovative investment manager with vast experience in global markets and specialized sectors. Founded as an investment club, the company became a registered investment advisor in 1968, and has a long-standing history of global investing and launching first of their kind investment products, including the first no-loan-gold fund. U.S Global is well known for expertise in gold and precious metals, natural resources and emerging markets. Grow strength; we strive to be the go-to stock for exposure to emerging markets, resources, gold, airlines and digital currencies. We have a strong balance sheet with a reflexive cost structure and a monthly dividend and return on equity discipline. Now let's go to Frank Holmes for an overview of the period. Frank?
Frank Holmes: Thank you, Holly. And thank you, Sarah, for helping out in this today and then we're going to have Lisa. Lisa Callicotte, our CFO will also be speaking and addressing financial questions. What I really wanted to say here thank everyone, in particular, very loyal shareholders of parrot Capital Management, and who have a wonderful micro-cap fund. The Royce Funds who have been long term both of them long term, loyal shareholders and, and same thing with Bill Nasca puts in his team at Heartland Advisors, who have recently come in and taken a substantial position in our company. They have the confidence of our vision, and BlackRock and Vanguard, which are either more index funds related, but in particular, the other fund managers. As you see, here, the dividends are paid monthly. We've been doing this since 2007. The current yield is 1.13%. A little better than what you're going to get in a money fund. We do have maintained the share repurchase program in motion. The board has approved to purchase up to 2.75 million shares outstanding common stock in the open market through December, this year of 2020. During three months ended September 30, the company repurchased 1,000 Class A shares using Casio approximately $2,000. This may be suspended. What's important for investors it's an algorithm that buys whenever gold seems gold. Whenever GROW had a big correction, it's just been correlated to gold. So that volatility on those big down days, the model, the algorithm kicks in and buys back shares. Most unfortunate is that most of the process today is that we're seeing in the sort of secular bull market now we've entered into, in particular for many of our asset classes we're benefiting from. As you can see here, the NASDAQ GROW, we had a little higher than 266 as we surged yesterday, but I think what's really important for investors is the operating revenue and how correlated is to the assets in particular the ETF assets which have continued to surge though our operating revenues increased Q-over-Q 73% year-over-year 300% and our net income increased by 32% Q-over-Q and year-over-year 150%. We have $2 billion in average assets and that's a 61% Q-over-Q growth and 209% year-over-year. I think it's just really important that investors recognize, as we sit in our press release, that we've not had these assets at this level, since almost going back 2011/2012 era, and at that time, we had 3x the number of employees. We are very lean, we have a very lean structure and so a lot of those functions that we had before have been outsourced so now we predominately have the accounting and financial aspect, the investment team and the marketing team to run this business. A lot of the operations have been outsourced. So we are able to see profit margin expansion with this growth in assets. As you can see, here, the assets have exploded on a relative basis. This visual does not go back to 2011/2012 when we were at that level, and I think the stock was also substantially higher, but back then we had to hire more employees, but we had higher funds offshore funds, which had higher fees. Today, the structure is very simple to calculate with the ETF business and the other mutual funds, but we're very happy we'll be able to do and now we're busy rebuilding our balance sheet and income statement and starting to pile up cash. So this is another nice visual to show you the turnaround in GROW, 10% - $0.10 and then we have $0.13 growth in some back to back quarters. I just think the future looks very, very promising for that. There's been some demographic studies that have talked about that change these what's taken place for our company. What's important is that we have definitely in my eye I see turn the corner. We still want to go through a few more quarters of showing that growth of cash and building that book value back up again. With that, then we can consider what people have always been sending me and asked me will you buy back more stock? Will you increase the dividend? I think that we've weathered just a horrible, horrible long winter in resources. They've returned and we spent five years building the brand and ETF business before it exploded. So it costs a lot of money and we lost money during that period building out and investing in the building of the brand of objects. But as you can see here, it's a blow-up quarter for GROW revenue and the next visual is how we've done against our peers. The orange is GROW and against other fun groups such as T-Rowe Price, Franklin. Franklin has a lot in emerging market funds like ourselves. Wisdom Tree is focused on ETFs period and investors' biggest fun is the QQQ as an ETF but we ourselves have been able to turn and actually be more reflective and participate in the SaaS that's taken place. What shocked me was the sort of the sell-off we've experienced the past couple of months while the assets have continued to grow. I think it's more of a function of a lot of small-cap stocks seem to - small-cap funds start to lag and there's sort of a negative sentiment going into the election. But after yesterday seeing how much gold was up, and some of the other assets, the airlines ETF, they were substantial, it's a big, big swing for us in overall assets. The next visual is highlighting JETS ETF says total assets higher. It's truly is. It's the only airlines ETF. We spent a lot of time building this. Not only that brand, but we spent a lot of time in building that model. It's very much to share with you a unique quantum model. It's not just factors for picking stocks. They are factors of how the portfolio recalibrates and rebalances every quarter. So it's a dynamic process. Demands for the airline ETF continues. What we've seen is the daily - when you look at the daily volatility of the airlines ETF is very much like the airline's industry like gold stocks. They have a big daily volatility. We've attracted which I think is so key for price discovery is 10s of thousands of young millennial traders. They love the airline industry. They follow the airline industry and they trade it. They're looking for the next big surge, a vaccine comes out. This really bouncing COVID will sort of slow it down in Europe, but the U.S. continues to chug along in a positive way. So I think positive news of Delta coming out and saying that they expect by the first quarter that they probably turn the corner and along with Southwest Airlines. These are very positive statements, the fundamentals of the airlines, they're still losing money, but a lot less freight. I'll try to explain some of the factors that kind of monitor if you're trying to monitor the health of the revenue line of the airlines, it's best to follow the TSA daily report that shows you how many people they've cleared, but demand continues to improve. As you can see here for anyone that doesn't understand how to calculate this, it's we generate 60 basis points of revenue and as the funds grow 60 basis points equates into 12 - as you can see 12 million. The revenue from JETS has basically gone from $500,000 to $12 million in revenue. It is a very simple model to understand. We see the daily trading volume, moving with gold and also moving more now with airlines. Next is a visual showing you a Seeking Alpha. The following investor subscribing to JETS updates on Seeking Alpha. This continues to grow, which is very positive and constructive. Here's the magic visual. This here is bond fund juice and bond funds are no doubt and the hedge funds that are short airlines or long airlines they want to reposition so they go long or short jets. We've seen big trading volume in our options on JETS so it's becoming a very liquid vehicle, basically for simple math going from 35,000 shares a day traded to 3.5 million. That has been very important in attracting a bigger broader ecosystem from hedge funds institutions to day traders. What we're seeing is that they track this data, the number of travelers and then went through a million and that's been a game-changer and that's when companies started coming out, the airlines' companies and saying that they believe that the wind of the tunnel is much brighter by the next - in the next six months. If you recall a year ago, the TSA was clearing about 2.7 million people and then by mid-April, it had fallen to less than 90,000 people a day. As the U.S. shut down the biggest busiest airport in the world was anchorage moving medical equipment from Asia over to North America and Europe. This is all changed, especially domestically, what we're seeing in the U.S. and the airlines the business travel hasn't picked up but tourism has. You're seeing the airlines use quad models. It reminds me a lot of what Apple's been doing. If a COVID area has a significant breakout Apple will shut down a store and wait and sell things online. Then all of a sudden when things slowdown they go back and open up that store. The airlines are recognizing that tourism is big so even United Airlines is flying from small cities in America in Pennsylvania, New York and Michigan, Illinois to destinations like Fort Myers; inexpensive fast path. At the beginning of October Southwest Airlines, all of a sudden started flying from Phoenix to Cabo San Lucas in Mexico. This is all to me amazing to see that tourism is an important part of that travel, and the airlines are able to adapt quickly. Previously, airlines flew predominantly through their hubs throughout America and then they went on to their second path. Today, they're doing direct flights from these smaller areas and they pivot, they move much more quickly. The next visual is CEO Ed Bastian of Delta. He says they feel they'll be breaking even by the spring of 2021; very positive for the industry. Southwest Airlines also articulate that. What happens in the air - in these new ETFs so that you come up with it's you really can't get on platforms until you get through 50 million and then once you get through 100 million, it expands greatly dummy platforms you can get on to and then the next threshold is 500 million, and then it's a billion. So you're seeing that some of these big warehouses, they're very slow to move, to put you on their system and the due diligence but what we've seen is a big breakthrough and particularly UBS, which has a much higher book to business. They're showing up as a major player in the space. Raymond James, and no doubt the Minos, the E-trade, the interactive brokers in Robin Hood. They're very important for the ecosystem. As day traders are increasing the volume, it makes hedge funds much more interested in going shorter long the ETF itself and protecting going long and shorting airline stocks. What happens is when they want to unwind a position because there's so much liquidity, they don't redeem to the degree they used to. They just sell into the marketplace, on their hedge. They're called pairs trading. So we're very happy about this broad distribution. I want to thank everyone at those firms and all those gatekeepers that help to-dos get a fast track that we get as a wholesaler, to get on those platforms and making sure that they have access to our research and what we're covering. The other part that's important we've shown in previous visuals is that the day traders exploded when they went to zero commissions, and particularly Robin Hood, and Acorn, but this expanded with TD Waterhouse and now Schwab. So you're seeing that more groups are doing it and they make their money from cash deposits, and then do margin lending, and they make their money from securities lending. To me, it's really interesting how different paths you can go to make money in this industry and commissions become a de minimis number. But before you want to come and trade this or invest in this sector, or GROW, I highly recommend that you respect the DNA volatility of different asset classes. Gold bullion and the S&P 500 have almost the same DNA of volatility over 10 days and over one day. It's 1% on a daily basis, it's a non-event. 7% of the time they go up or down 1%. As you can see, gold stocks are much higher than gold and you can see Bitcoin is massively greater over five days or 10 days. Oil, no doubt, you can see here that oil is very volatile. That one-day volatility is shocking here is 10% and that impacts the airlines because the cost of energy is their second biggest line item and so you get a whole community of traders that as oil is trending higher, they're out of JETS, as oil starts to correct and fall, they start buying JETS. That to me just adds to that ecosystem that we just don't want to have a bunch of whales owning the ETF or any of our products. We want to have tunas dolphins, barracudas, sharks, minnows, groupers, we want it all. We want this robust ecosystem and just clearly showing that and GOAU is getting that traction to where its volume is up dramatically and has gone through the $100 million level. We're seeing family offices come into it because of GOAU when we talk about that specifically because of its orientation towards royalty companies. Here's something that shocks and I go into media, and particularly New York to see is always to have this propensity, a high probability of being negative gold. Gold has been up greatly while it's gone too much gold starts to correct. I told you it's going to go lower. Not recognizing in this century that gold has outperformed the S&P 500 threefold. That's 300% difference, and it's a 26% over this year. It's outperformed the S&P. So gold is a significant and critical asset class and that's why the largest hedge fund around the world has a weighting in gold. Quite often it could be over 10% and recalibrates. That's Ray Dalio's Bridgewater. The next visual is YouTube. This production, we've been putting those educational pieces. They're two minutes. Is CBI fake news? What does it mean for gold, and I highly recommend that you click through and you subscribe to U.S. Global's information that we're putting out research? What we tried to show in that two-minute clip was inflation is closer to 8% than reported 1%. If you use the algorithm that determines what CPI is, that was used in 1980, when gold had a 50 inflation went over 12%, CPI was over 12% and silver had $50 an ounce. If you use that algorithm today, inflation is running more like 8%. That's published by John Williams Shadow Statistics and I think that people don't realize is that the report is CPI. It's amazing housing is up 10% to 15% across America, and some places like I said 15%. That's big inflation. Gas pump inflation is up, everyone driving to work during the day. It's surged by inflation of 1.3%. I don't think so. So I think it's important for investors to be educated, and that's a key value driver for gold and smart hedge fund managers like Ray Dalio. Gold has benefit from excessive money printing. I've written about this, if you're not a subscriber to Frank Talk, I highly recommend it. The market team puts together great information. The investment team helps right the investor alert every week. And clearly the marketing team and the editorial board that we have there puts lipstick on everything we do and checks for compliance, etcetera. But we really try to be faster than what brokerage firms publish. And right now what you've seen with this excessive regulations come out of Europe for the past 15 years. Now this mythic [ph] to really hurts investors getting information that they used to be able to get even from major firms like Deutsche Bank, you have to be MiFID compliance for me to go listen to a webinar. So this is a new world. So we try to be a provider, a timely, insightful, informative provider. And what this visual is showing you that there's a correlation between the amount of money printing and money supply year over year and the gold prices. And if you go back, and you can see this sort of trend, the other part of that is negative real interest rates. So when you add money printing and negative real interest rates, it's a great barometer and tool for navigating gold markets. The sell back of both the products that generate the revenue, to pay the salaries and allow us to pay dividends and buybacks, the stock has [ph] expanded its availability, with assets over 100 million. We're tickled by this. We're excited about it, and we will continue to tell that story like we did this week. And we had a huge response. I think almost a record number sign up to listen to the world of gold. And the next visual is our investments. We couldn't launch an ETF in the space of Bitcoin. Still, many people have tried spent a lot of money. Nothing's happened. US global investors went out and co invested and launches high blockchain technology, we own 10 million shares. We mined aetherium and Bitcoin using green energy, we mined aetherium in Iceland, Sweden, and we mined Bitcoin in Quebec. So it's been an incredible roller coaster ride. That Hive [ph] itself is an investment from our seed of $0.30 to $6 and back down to $0.10 cents then back up, it's just really important for investors to recognize. It correlates with the price of aetherium and this here is about the major events moving the price of Bitcoin, the winter of Bitcoin and aetherium digital money bottomed. It bottoms in the winter, where they call it a winter season was about 18 months, not even just 14 months. And at bottom when JP Morgan stopped trash talking the digital world and they launch their own stable coin. Then it exploded when Facebook announced the Libra than the world backlash against Libra. It's sold off, and now it's pivoting up on its own. Today it's hit $16,000. So I think the Bitcoin and the aetherium spaces is turn and aetherium has been on a huge run. But what really had a big impact in the past 10 days is the press release that PayPal will allow cryptocurrency buying and selling and shopping on its network that came out and that was that tacked on $1,000 a Bitcoin. So I think certain news is driving as it goes more mainstream and aetherium as you can see the next visual. There's a picture of myself with John Mauldin of Mauldin Economics, I went to visit the Icelandic facilities this is almost two years ago. But the Ethereum miners are gaining big traction with the huge movement and decentralized finance is so often they use aetherium algorithm as their backbone and so therefore they need aetherium and we've seen aetherium prices explode on the upside. In this year, Hive increases next generation Bitcoin mining, power to green energy in Quebec. In September, we put a record aetherium mining production driven by the defy demand than October reported the first quarter financial results and the next one is the exciting part that added to our earnings this quarter is the rebound since Hive got control of his destiny. We've had a great move in our stock where the most liquid name of all these companies and you can see year to date, we're still the best performer. The correlation is extremely high with aetherium. It's more than 70% correlation. On a daily basis, if you do the taping on it, it's more like 90%. We also made an investment several years ago, which we're really thrilled about is in Thunderbird Entertainment. And that's a company that Tim Gamble and Frank Giustra had created and if you recall it, the history of Lionsgate Entertainment that was created basically by those two individuals, and this is a company that's exploding in success of the animation, and they just recently won an Emmy for The Last Kids on Earth. Their revenue is surged above $100 million. They have free cash flow, they have rising cash flow, rising revenue per share growth. This is just a sweet undervalued company. They're producing a lot of content for Amazon, for Netflix, for even Walt Disney their animation team will be contracted out. So this is an investment and itself it had a great run this year. Because of COVID the need for content, the need for new content, we have more people working from home staying from home. Entertainment has come from home. So we know when our funds one of the things we bought early was Home Depot, because Home Depot stayed open during the whole lockdown. And everyone was busy stuck at home, so they started repairing their houses. And parking lots for Home Depot were packed where everyone else was empty. So it's interesting to see that certain companies have truly benefited from COVID, just like we have. We've been the recipients and one of the biggest and most important parts is the unleashing of the millennial. And I haven't seen this until the 90s. I recall when all of a sudden, baby boomers discovered mutual funds and tech stocks. And we had a super cycle, the unleashing by President Clinton of the internet to the capital markets. He had tax reform, he had reformed on telecom and media and technology industry and all of that basically anytime you deregulate streamline regulations, you get massive job creation, his fiscal policy 101. And with that time, the baby boomers, my age, were just jumping all over this space for 401-K's, it came with a Roth IRA, and there's a huge growth. Well, today's ETFs and today it's millennial and we're going to witness the largest wealth transfer from baby boomer to millennial is because numbers are benching around like $10 trillion. And so now they discovered and they're predominant using YouTube and a podcast to get their information, because it's harder and harder to get a research from the brokerage firm and the coverage and they're very caught up in the speculation of micro-cap stocks. So I think that I remain very bullish and constructive on overall the economy and the stock market. And stay tuned for the second leg of the airlines industry. Vaccine has discovered or is implemented, that's works, and you're going to see a huge explosion in travel again in the airline industry. Now I want to turn it over to hard working Lisa Callicotte, who has been busy throughout this whole bear winter cycle that we're always experienced until the recent take off of our ETFs. She's been managing the process and I thank her. And so now we're going to talk about the results and growth.
Lisa Callicotte: Thank you, Frank. Good morning. First of all start with our financial highlights; we had a very strong quarter. And as we noted previously, we felt that this quarter would really demonstrate the results of the inflows into our JETS ETF. And this is reflected in the fact that our quarterly average assets under management and our operating revenues increased approximately 300% compared to the same quarter last year, and our quarterly net income was $1.9 million. Quarterly operating revenues are the highest they've been in six years. And quarterly net income is the highest it's been in the last nine years. And now we'll review more details on the financial statements for the quarter ending September 30, 2020. Beginning on page 40, we see we recorded total operating revenues of $3.2 million for the quarter, which is an increase of $2.4 million or 304% from the $804,000 in the same quarter last year. The increase is primarily due to the increase in our average assets under management related to our smart beta JETS ETF. And this is while operating expenses only increased 57%. And that was mainly due to higher ETF fund expenses and higher bonuses due to fund performance. We see our operating income for the quarter ending September 30, 2020 is $937,000 compared to an operating loss the same time last year. On Slide 41, we see other income for the quarter is $1 million. And this is mainly related to unrealized gains on our investments compared to unrealized losses for the quarter ending September 30, 2019. Net income attributable to USGI after taxes for the quarter is $1.9 million or $0.13 per share, which is an improvement of $5.5 million compared to the net loss of $3.6 million, or a loss of $0.24 per share the same quarter for fiscal year 2020. Moving to page 43, we see we still have a strong balance sheet includes a high level of cash and marketable securities that make up 73% of our total assets. Slide 44 notes our liabilities, which are relatively consistent with June 30, 2020. And Slide 45, you can see our stockholders equity detail. Our company has a net working capital of $9.3 million and a current ratio of 5.4 to one. With that, I'll turn it over to Holly.
Holly Schoenfeldt: Thank you, Lisa. All right. As you can see on this slide, a majority of our mutual fund assets are in emerging markets and natural resources, while 28% are in domestic equities and fixed income. And as for distribution, more than three quarters of assets come from retail investors with 18% coming from institutional investors. Our sales and marketing efforts have continued to focus on our mutual funds, including those concentrated on gold, natural resources and emerging markets, as well as our exchange traded funds. The company and our funds continue to receive an invaluable amount of viral publicity gained through media interviews. Frank Holmes often shares his insights with financial outlets like Fox Business Television; Bloomberg Radio and Kitco News just to name a few. We continue to receive recommendations by influential financial newsletter writers as well. Along with sharing and syndication of our award-winning original content by third party publishers, the newsletters have loyal followings, and receive millions of visitors each month. Frank Holmes CEO blog Frank talk continues to grow in popularity as well. Its commentary is often featured by prominent publications, including Forbes, Seeking Alpha, Kitco and Equities.com, each with millions of monthly visitors. Kitco News the biggest gold website in the world with an audience of over 30 million monthly visitors in partnership with the street continues to feature the gold game film show with Frank Holmes Gold Market Analysis. And since the show's beginning 193 episodes have aired, you can watch Frank's interviews with Kitco on our YouTube channel or on kitco.com. At quarter in we like to look into the most visited Frank talk blog posts published over the past year and on this slide, you will see that the most visited articles so far in 2020 are as follows. Number one the top 10 countries with the largest gold reserves. Number two the top 10 gold producing countries. And number three explore the world's 10 busiest airports. You can sign up for the blog for free on our homepage usfunds.com. All of this coverage helps us leverage our brand by reaching millions of readers, viewers and potential investors. Our website usfunds.com is visited over 770,000 times from September 2019 to September 2020 by curious investors from all over the world. US global is well known for timely, balanced and positive market insights and our thought leadership. The company has been awarded numerous Star Awards by the investment, management, education alliance over the years for excellence in investor education. Our total now stands at 90 awards as we received two more just last month. Our subscriber base continues to grow organically as well and we currently have over 50,000 curious investors subscribe to our investment newsletters and the Frank talk blog. Investors can sign up once again at usfunds.com and these subscribers who receive the award-winning investor alert, e-newsletter as well as Frank talk. We also continue to see a large following across all of our social media platforms. I encourage you to check us out not only on Facebook and Instagram, but also Pinterest, Twitter, and of course YouTube. And as I mentioned at the beginning, please shoot us an email at info@usfunds.com with your mailing address and we are happy to send you [indiscernible] or both, so just a quick reminder on that. And finally, as we wrap up today's presentation, we'd like to open it up to questions. As a reminder, you can enter the questions in the control panel on your screen. You can also submit quest questions directly to us anytime by emailing info@usfunds.com. So if we don't get to you during this presentation, be sure to do that and we're happy to reply and we will be following up with all questions within a few days.
A - Holly Schoenfeldt: So with that, I have a few questions here. I'm going to start with you, Lisa. I know you just finished your section, but can you please briefly re-summarize how the increase in AUM will impact cash flow and profit margins?
Lisa Callicotte: Yes, we're very excited about the quarter. And about the vast improvement in both profit margin and cash flows. Our operating profit margin for the quarter was approximately 29%. And we had positive cash flow through operations and our total cash increased approximately 660,000 from the June 30 quarter. We really feel like this shows that the quarter ending June 30 was a turning point for us. And we're very happy that we're seeing more complete results of that this quarter.
Holly Schoenfeldt: Thanks, Lisa. Frank, I have a question for you. Are there any new products in the pipeline?
Frank Holmes: I think what's important is the streamlining I would come back on these financials. One of the things that impact this during this bear cycle is also the lagging performance because we have a fulcrum fee. And a year ago, a lot of funds were just really not doing well. But today 90% of the funds are our plus or there. It's great to see. So that's a real positive note about the fund performance of the mutual funds. And what we did do is to launch the first luxury only dedicated fund and I remember people questioning me are you crazy, COVID. But it's interesting that the discretionary products have done exceptionally well. Costco has done well. Netflix has done well. But Tesla is a discretionary stock, Amazon. So to me is it's important to see what that how that luxury industry has done remarkably been resilient. And from the lows, they've had a wonderful run. So we have the only mutual fund that has luxury focused investments. And so I'm thrilled about that. The biggest thing I've been working on Holly that you're seeing in the industry is more and more how do you convert your mutual funds in the ETFs. And I think we've all been listening to presentations. We've spoken to people that are in the process now of doing it. We've been talking to counsel. So we do think that it's just a better product delivery for investors and traders out there the ETF. So we're going to be really focusing on that and the same time we are drilling down of looking at other products.
Holly Schoenfeldt: Great. Lisa, I have another one for you. Are you planning to continue your stock buyback and dividend distribution?
Lisa Callicotte: Well, our board reviews our stock repurchase program and our dividend distributions regularly. Currently, as Frank mentioned earlier, we are repurchasing shares based on an algorithm when our stock trades down or is below a certain threshold. And this program can be adjusted. Typically, I would say the board considers the company's financial position and cash flow when determining to continue or change these programs. And though, you know, I can't predict the future, as the company's financial metrics strengthens, the possibility of increasing the stock buyback and or the dividends is more likely.
Holly Schoenfeldt: Great. And Frank you briefly touched on this when you're talking about any new products in the pipeline. But can you go back to discussing how the investment team is working to improve performance of the mutual funds?
Frank Holmes: It's really the discipline quantum mental approach dynamic rules-based thinking and so that's how, like global resources was underperforming its index. And today it's crushing it and it's called the GNR ETF. Well, we are so much further ahead of that performance of the GNR from both a top down industry allocation to a stock picking allocation, and it's just doing phenomenally well. So I'm very thrilled about global resources that we show that we can go beat an ETF an index like the GNR. So that's the biggest difference.
Holly Schoenfeldt: Yes, great. Another question that came in Lisa, maybe you can touch on this. How is the investment in Galileo was having the same struggles as a lot of companies in the mutual fund industry? We did have some really good years with them, and very grateful for that but we both decided to go ahead and part ways. They had been losing money recently and so, therefore, they are actually considered - included in our discontinued operations in our financial statements. So we no longer are with them.
Frank Holmes: I think what's important there is that we did leave them with a technology fund and we're major investors in that and their focus is on that. They're going to take that product, and it should have also just great numbers. So we are still invested indirectly in the company and through specialty fund.
Holly Schoenfeldt: Another question I have either one of you can take this. Can you speak to your building tenants and are any leases rolling off or is there any update about that because of the pandemic?
Lisa Callicotte: Actually, we just have a couple of tenants and they'll be rolling off in the next couple of years. But we've also seen a little bit of interest because we do have some smaller areas in our office space that we can lease out and that we're willing to. So we are getting a little bit more interest lately into possible increases on that.
Holly Schoenfeldt: Okay, great. Frank, do you have any closing comments for the shareholders tuning in today?
Frank Holmes: Well, I wanted to thank them for their patience as we go in this ETF business, and that it took a lot longer than you think. It took three years for GOAU to get above $100 million. It took five years for JETS all of a sudden to be discovered and set unprecedented records. These ideas when you come up with them, they take a lot of legwork and marketing knows very well. The educational and the marketing department is so the 190 educational marketing awards for that, but it just takes time. Thank you everyone for their patience with us as we build-out. I am working on some exciting new ideas going in for the New Year, new products, but I would look forward to a mechanism where mutual funds can be converted easily for the shareholders into ETS. I think that'll be a great boom for us and for overall capital markets.
Holly Schoenfeldt: Wonderful. Thank you for the questions, everyone, and of course for tuning in. Just as a reminder, if we didn't get to your question, we would have - we'd be happy to answer it afterwards. Just shoot us an email at info@usfunds.com. This concludes U.S. Global Investors' webcast for the first quarter of 2021. Thank you all for your participation.